Operator: Good morning and welcome to the Xenia Hotels & Resorts’ Second Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Lisa Ramey, Vice President of Finance. Please go ahead.
Lisa Ramey: Thank you. Good morning everyone and welcome to the second quarter 2015 earnings call and webcast for Xenia Hotels & Resorts. I am here with Marcel Verbaas, our President, Chief Executive Officer; Andy Welch, our Chief Financial Officer; and Barry Bloom, our Chief Operating Officer. Marcel is going to begin by providing you with an update on the industry, a discussion of our second quarter results, our recent activities and our outlook for the remainder of 2015. Andy will provide additional details on our second quarter performance and our balance sheet. We will then open up the call for Q&A. Before we get started, let me remind everyone that certain statements made on this call are not historical facts and our considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our Annual Report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed and/or implied by our comments. Forward-looking statements in the earnings release that we issued earlier this morning along with the comments on this call are made as of today August 13, 2015 and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures refer to in our remarks in this morning’s earnings release. An archive of this call will be available on our website for 90 days. With that, I will turn the call over to Marcel to get started.
Marcel Verbaas: Thanks, Lisa and good morning everyone. Welcome to our second quarter 2015 earnings call and webcast. We have another good quarter to tell you about. But first I would like to give you a quick update on our transition from our former parent company. We are pleased to announce that as of the end of July we are no longer compensating InvenTrust for any transition services. As this to be expected there are a handful of corporate items for which we are obligated to provide mutual cooperation, but we are no longer relying on them for any support functions. Next I would like to provide a brief lodging industry update. Overall the industry remains strong as evidenced by a 6.5% RevPAR increase in the second quarter. The majority of increase came through rate growth as ADR increased by 4.8% and occupancy increased by 1.6%. While certain markets are seeing an increase on supply we are encouraged that demand growth is projected to remain strong and exceed anticipated supply growth in the near future. We are happy to report substantial increases in our adjusted EBITDA and adjusted FFO per share for the quarter. Adjusted EBITDA increased to $80.2 million reflecting growth of 10.5% over last year while our adjusted FFO per share was $0.57 a 14% increase. Our second quarter RevPAR growth as adjusted for the Eleventh Edition of the Uniform System of Accounts for the Lodging Industry or USALI was 4.7% driven by an ADR increase of 5.2%. This significant ADR increase was slightly offset by an occupancy decrease of 0.5%. One of the biggest differences between the Tenth and Eleventh Edition of USALI is the treatment of resort fees that are attracted by hotels. While previously these resort fees were included in average rate. We now recognize these fees are the other revenue. On an unadjusted basis and not an apples-to-apples comparison, our RevPAR increased by 3.9% in the second quarter. We estimate that our second quarter RevPAR growth was impacted negatively by about 60 basis points as a result of the impact of the guest room renovation and bathroom conversion at the Marriott San Francisco Airport Waterfront, which we completed during the quarter. We are pleased that we were able to increase our hotel EBITDA margin to 34.1% in the quarter, a 70 basis point increase despite the headwinds provided by the anticipated increased real estate taxes at some of our more recent portfolio additions. Now I would like to turn to some of our recent activities including our completed and pending acquisitions of four high quality hotels. Subsequent to the end of the second quarter, we completed the acquisition of three Kimpton managed hotels, The RiverPlace Hotel in Portlands, The Canary Hotel in Santa Barbara and the Hotel Palomar in Philadelphia. And we also announced our agreement to acquire The Hotel Commonwealth in Boston upon completion of its current 96 room expansion project. We were able to acquire the three Kimpton hotels by acting very decisively in a limited marketing process. We are excited about further enhancing this relationship as we now on seven Kimpton managed hotels in excellent strategic locations. The addition of these three hotels allowed us to enter three new markets and successfully execute on our strategy of increasing our presence in the lifestyle boutique segments and top lodging markets and key leisure destinations. Our acquisition of The Hotel Commonwealth in Boston will be another exciting step as we continue to improve our portfolio quality and market diversification. This hotel will be a tremendous addition to our portfolio upon closing this transaction in early 2016. Not only as Boston a dynamic lodging market where we currently have relatively low exposure, but after acquiring the property upon completion of its expansion we will own a very well located hotel that will be partially new and otherwise newly renovated with substantial upside potential from its already strong performance base. In addition to the targeted acquisitions such as these we continue to evaluate opportunities to recycle capital from anticipated slower growth assets on markets. We are considering the potential sale of several hotels in our portfolio and we will provide further updates if and when we proceed with those potential transactions. In addition to these acquisitions, we are also pleased to finalize an agreement that will add STK Rebel as the restaurant tenants at our Andaz San Diego hotel in early 2016. The STK Rebel concept is an extension of the primary STK branch offering a menu and price points targeted to a broader markets. We believe that the restaurant will be a great addition to the hotel. Turning to our renovation activity in the second quarter, we completed the renovation at the Marriott San Francisco Airport Waterfront in May and are happy to have our major renovations this year behind us. We added three guest rooms at the hotel as a result of the renovation. We also added one additional key at our Hyatt Regency Santa Clara. We look forward to fully reaping the upside of our recent renovations as the hotels continued to ramp up. Looking ahead to our upcoming projects we’ll begin a comprehensive renovation of the guests rooms at the Napa Valley Marriott Hotel & Spa in December, which we expect to complete in the first quarter of 2016. Additionally, both of our development projects are nearing completion with the Grand Bohemian and Charleston anticipated within the next month and the Grand Bohemian Mountain Brook in November. We look forward to adding these two great assets to our operating portfolio. As continuous to be the case the used end market performance as a frequent discussion in the lodging space and as anticipated the impact of oil prices has caused challenges in the markets. Overall market RevPAR was down 4.6% due largely to a decline on occupancy. As most of you know we are located in two diverse sub markets in Houston, the Galleria and the Woodlands and the performance of each varied for the quarter. The Westin Galleria and Oaks struggled this quarter on the top line with RevPAR down nearly 9%, but we have been successful in implementing numerous cost control strategies allowing hotel EBITDA to remain virtually flat compared to last year. Thus far the Marriott Woodlands has held up better than the Galleria sub market hotels with RevPAR for the hotel up 3.5% for the quarter. The property has worked diligently to backfill larger group cancellations with higher-rated transient and small group business and continues to focus its efforts on maintaining this momentum for the balance of the year. When excluding our use in assets, our portfolio RevPAR increased 6.3% which is indicative of the strength of our portfolio overall. Andy, will provide greater detail on additional specific market performance later during the call. In June we announced our second quarter dividends of $0.23 per share. While we are pleased with the current level and yields our board will continue to review our dividend policy on an ongoing basis. Now before I turn the call over to Andy, I would like to discuss our updated 2015 guidance. We have updated our guidance for the remainder of 2015 to incorporate the three recent acquisitions, the company's second quarter performance and our expectations for the balance of the year. We have increased our EBITDA range to $288 million on the low-end to $297 million on the high-end with $7 million to $8 million being contributed by the three recently acquired hotels. Our revised adjusted FFO forecast ranges from $227 million to $236 million which accounts for the changes in our debt structure and the performance of our assets. Our revised RevPAR range is 5% to 6%. This range includes our projected performance for the hotels that we acquired as well as our year-to-date performance and the continued weakness and Houston market. As I alluded earlier, our asset management team has done a great job in cost containments and margin expansion through the first half of the year and we anticipate this to continue through the end of the year. Finally, we are adjusting our full-year capital expenditure guidance range down $5 million to $45 million to $55 million primarily due to project timing. This range includes our renovation projects, but excludes the expenditures related to the earthquake damage and remediation at the Napa hotels. I will now turn the call over to Andy as he will provide some additional details on our second quarter performance and update on our balance sheet.
Andrew Welch: Thanks Marcel, and good morning. We are pleased with our second quarter operating results. We are also pleased that this is the first quarter were our financial statements have not been carved out from our foreign parent and all reporting responsibilities have been transitioned to our offices in Orlando. Before getting into further details for the quarter let me remind you that there have been reclassifications of revenue and expense line items to other categories both due to changes in USALI as well as other internal reclassifications. The combination of these items in addition to the carved out financial statements prior to this quarter means our line item operating results for this quarter and this year are difficult from a comparison standpoint to the same periods of 2014. And an ongoing effort to provide more detailed and granular information on our portfolio, our second quarter press release contains full-year 2014 EBITDA by hotel. Going forward we anticipate providing manual EBITDA by hotel when we release our fourth quarter results each year. So let’s discuss our second quarter in a bit more detail. Our second quarter same property hotels results include all 46 hotels owned as of June 30, 2015 which excludes our two hotels under development as well as the three hotels acquired in July. RevPAR for the second quarter were 4.7% without Houston increased 6.3%. We had solid performance in a number of markets with 17 of our hotels growing RevPAR by more than 9%. Our top-performing markets included at Santa Clara up 16%, New Orleans up 15.5%, San Diego up 12.9%, Washington DC up 10.3%, Dallas up 9.8% and Boston up 9.7%. In addition to Houston, our weakest markets were San Francisco due to the renovation disruption Marcel mentioned earlier and Baltimore down 8.3% due to the civil unrest early in the quarter that the city has been slow to recover from. As detailed in our press release, we have categorized our portfolio by geographic region according to STR. Our strongest performing region for the quarter was the amount for our properties in Denver, Salt Lake City and Phoenix all performed well. Despite the disruption from our San Francisco asset the Pacific was our second strongest region as San Diego and Santa Clara post renovation posted strong results. The West South Central as previously noted was impacted by our Houston properties of our Dallas and Austin properties perform very well. Our portfolio mix is approximately 70% transient and 30% derivative. 2015 group booking revenue pace is ahead of the same time last year by 7% largely driven by increases in projected rate. Our strongest performing markets in terms of 2015 group pace compared to 2014 include Atlanta, Santa Clara and New Orleans. We are pleased with our flow-through and margin expansion with hotel EBITDA margin of 34.1% for the quarter. We had a strong expense control during the quarter with hotel level expenses increasing 2.6% impacted by the anticipated increase in real estate taxes related to our more recent acquisitions and anticipated increases and incentive management fee. We continue to aggressively pursue valuation reassessments in multiple jurisdictions. A quick update on the two Napa hotel earthquake insurance claims, we are close to finalizing the property damage claim for both hotels, which totals approximately $9.5 million. Today we have received property insurance proceeds of $7.9 million. In addition, we expect the business interruption claim related to 2014 lost income to total $5.6 million. Of this amount we’ve received $3.7 million in the first quarter and anticipate receiving 90% of the balance of the claim in the third quarter with the remainder in the fourth quarter. We are not including net business interruption proceeds related to 2014 lost income and either adjusted EBITDA or adjusted FFO. Corporate general and administration expenses for the quarter totaled $6.9 million, which includes $1.8 million of amortized share-based compensation. In addition we incurred $1.2 million of one-time expense associated with startup costs incurred while continuing the transition to an independent listed company. The recurring cash G&A expense for the quarter was $5.1 million, which is in line with the annual cash G&A expense of between $20 million and $22 million included in our 2015 guidance. At the end of the quarter we had $197 million of cash as well as $86 million of restricted cash consisting primarily of FF&E reserves. During the quarter we paid off the $55 million mortgage on our Houston Garden in Washington DC and we finished the quarter with total debt of $1.1 billion and no outstanding balance on a $400 million line of credit. Since our listed in February we have paid off $86 million of mortgage debt and unencumbered two properties. Subsequent to quarter end we use cash and drew on our line of credit to fund the acquisition of the three hotels. Currently our cash balance is approximately $60 million and there is $127 million outstanding on our line of credit. We have substantial liquidity and financial flexibility with which to execute our business plan. The weighted average interest rate on our outstanding debt is now below 4% and we have 23 unencumbered hotels, but we have a well-balanced debt profile we continue to focus on further unencumbered in our portfolio locking an attractive long-term rates and extending our maturity profile. We are evaluating and pursuing several financing transactions and will keep you updated as progress is made. I want to thank you again for joining our second quarter earnings call. This concludes our prepared remarks. Operator, we would be happy to answer questions now.
Operator: We will begin the question-and-answer session. [Operator Instructions] Our first question comes from Thomas Allen from Morgan Stanley. Please go ahead.
Thomas Allen: Hey good morning.
Marcel Verbaas: Good morning Thomas.
Thomas Allen: Hi, so just on the acquisition and disposition front, you’ve done or announced number of deals over the past few months? Can you just give us some more granularity and how you are envisioning your liquidity today and any more color you can give around, your view on that potential acquisitions dispositions in the second half of the year? Thank you.
Marcel Verbaas: Sure, this is Marcel, Thomas thanks for coming today. As you pointed out, we obviously did we announced four acquisitions three of which we’ve closed on the one that we’ll not close on to early 2016. So as we’re looking at our current balance sheet Andy pointed out what our current cash balances on the availability that we have under our line. As we’ve talked about consistently we absolutely want to be at a leverage level does remain sub five and clearly we are still well within that range. So we will continue to look for appropriate acquisition opportunities, but I would say that the second half of the year you might actually see a little bit more of a focus from us on dispositions then you’ll see on acquisitions.
Thomas Allen: Okay and then on the RevPAR guidance you guys picked on the high-end of the range, wondering what drove that I mean getting color on impacting Baltimore, Texas I mean did those - where those unexpected and you did highlight that I think your group booking basis actually solid in the quarter. So trying to understand if the high-end represents more - because it’s more of an industry thing or is it more kind of industry kind of color your properties? Thanks.
Marcel Verbaas: As we pointed out I think it’s kind of a number of combinations, but we certainly the use in impact that we saw in the second quarter and as we continue to expect in the third and fourth quarter was probably the main driver for us in our portfolio to say that we have to take the top end of the rents down from the 7% to 6%.
Thomas Allen: Okay and then if I can just ask one last one and as we think about your RevPAR for the third and the fourth quarter can you just help us to think about kind of either one-time comp things our seasonality or we should think about the growth for both 3Q and 4Q? Thanks.
Marcel Verbaas: Yes, our third quarter and I think this one come as a surprise to you or other people following the industry, the third quarter is a little bit tougher compared to last year primarily because of some of the timing issues that you're dealing within September as it relates to both the Jewish holidays and the timing of Labor Day a little bit later in the month then it was last year. So that’s impacting the September numbers a little bit so our comparison in the third quarter is a little bit tougher, the fourth quarter looks very strong for us and other three driven by number of things. Andy pointed out the strong performance of Santa Clara after we completed that renovation in the first quarter and that hotel continues to redo very well and we are expecting some acceleration to come out of our San Francisco airport assets after we completed that renovation. So those are things that we are - really a driver for us going into the fourth quarter and obviously we have some of the easier Napa comparisons still as we have the earthquake issues last year.
Thomas Allen: Okay and just to clarify there aren’t going to be any meaningful renovation in the fourth quarter for you this year, right?
Marcel Verbaas: The only thing that I highlighted in my prepared remarks in the renovation of the Napa Valley Marriott, but the way we are spacing that hotel renovation is that we are getting started in December so there won't be much of an impact anyway in the fourth quarter, but also when you look at the seasonality of the Napa markets doing it here towards the end of the year and then going into the early part of next year it really will not have a very substantial disruption at all, there certainly not anything compared to what we saw from our Santa Clara and San Francisco renovation.
Thomas Allen: Great. Thank you very much.
Operator: Your next question comes from Aaron Meyer from Wexford. Please go ahead.
Aaron Meyer: Hey guys, really managed the margin is incredibly well and excluding Houston which we sort of new was really good report. Now I just wanted to understand how you are thinking about the acquisitions, the cap rates, but also now that you are stock is sort of back below the tender range how you sort of think about it in the context of your comments on dispositions versus acquisition. So I think it’s really helpful you provided this the property by property EBITDA sort of shows you even a much larger discount to the NAV that I thought. So I guess more in line with how you think about these acquisitions and what you paid versus what you look at as you were sort of company cap rate and just how you think about the capital structure in context of that?
Marcel Verbaas: Hi it’s Marcel. Thanks Aaron. We obviously are always evaluating uses of capital and then capital is a scare commodity for us and we’re making decisions based on what we think is the right thing for us as a company longer-term. And we felt that having the opportunity to acquire these hotels that are very accretive to the quality level of over portfolio is a very good step in the evolution of our company. And that being said, we are obviously keeping a very close eye on what's going on with markets overall and certainly our view of where we’re trading versus NAV and something that obviously and something that’s impacting the lodging industry overall at this point and we will obviously look it very carefully and continue to look at what do we think whether a stock buyback will be an appropriate use at some point. As I pointed out, we are evaluating a number of dispositions as we are progressing on those we’ll give you some more color and contacts as far as how we view the balance sheet shaping up here over the next short and medium-term.
Aaron Meyer: Okay, thanks and I appreciate that. And then how about just a little more on your thought process on terming out the debt, you did a good job obviously encumbering some properties as well and just sort of looking at the average interest rate coming way down. And just for the time being any more color you could sort of give us on the thought process and sort of extending the maturity profiles given what it looks like, very favorable rates and especially versus your cap rate and your potential distributable growth?
Andrew Welch: Yes, sure. Aaron we’re in process of doing a number of transactions as I alluded to on my comments and we’ll announce when we complete those, what we've done, but certainly looking to take advantage of the current rate environment extend the maturity profile, fix a bit more of our debt while continuing to run an encumbered properties.
Aaron Meyer: Great. Thanks so much guys. Really appreciated.
Operator: The next question comes from Mike Swotes from Castle Ridge Investment Management. Please go ahead.
Michael Swotes: Yes, thanks. I’m trying to make sure that I understand your adjusted RevPAR guidance. It looks to me like there is some inconsistency and the definition between Q1 and Q2, initially you guided to 5% to 7% RevPAR growth without any mention of USALI and now you are guiding to 5% to 6% adjusted for USALI. So it looks to me like that’s actually a 140 basis point reduction in RevPAR guidance apples-to-apples with the first quarter, can you clarify that please?
Marcel Verbaas: Sure. Yes, I’ll happy to do so. Actually what you are saying is incorrect. Our guidance that we gave initially the 5% to 7% was also USALI adjusted. What we did not do particularly good job of frankly was clarifying that in the first quarter. And we did clarify in the first quarter the 100 basis points impact on the numbers. Frankly it does one of the things that we wanted to clarify more in the second quarter release as we’re increasing which I think frankly, hopefully the investors and analyst view this as a positive or obviously trying to increase transparency over time, which is something we are attempting to do after the separation from InvenTrust and initially having to carve out our financials out of InvenTrust that was a little bit more difficult to do. So it truly is an apples-to-apples comparison and if you look at what we’re using as our guidance range and how we are adjusting for USALI that is completely consistent with the way that our peers are doing it and also the way that the industry numbers are being reported. So it is an apples-to-apples comparison.
Michael Swotes: Okay, it read very, very differently. So I wanted to make sure I understood that.
Marcel Verbaas: No problem.
Operator: This concludes our question-and-answer session. I’d now like to turn the conference back over to Marcel Verbaas for any closing remarks.
Marcel Verbaas: Thank you operator. Once again I’d like to thank everyone for joining us today and we look forward to speaking to you in the future - in future quarters and updating you on our progress. Thanks.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.